Operator: Good day, ladies, and gentlemen. Thank you for standing by. Welcome to the Rush Street Interactive Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded today, October 29, 2025. I will now turn the call over to Kyle Sauers, President and Chief Financial Officer. Please go ahead.
Kyle Sauers: Thank you, operator, and good afternoon. By now, everyone should have access to our third quarter 2025 earnings release. It can be found under the heading Financials, Quarterly Results in the Investors section of the RSI website at rushstreetinteractive.com. Some of our comments will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not statements of historical fact and are usually identified by the use of words such as will, expect, should or other similar phrases and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We assume no responsibility for updating any forward-looking statements. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. We will be discussing adjusted EBITDA, which we define as net income or loss before interest, income taxes, depreciation and amortization, share-based compensation, adjustments for certain onetime or non-recurring items and other adjustments that are either non-cash or not related to our underlying business performance. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measure is available in our third quarter 2025 earnings release and our investor deck, which is available in the Investors Section of the RSI website at rushstreetinteractive.com. For purposes of today's call, unless noted otherwise, when discussing profitability, EBITDA or other income statement measures other than revenue, we're referring to those items on a non-GAAP adjusted EBITDA basis. With me on the call today, we have Richard Schwartz, Chief Executive Officer. We will first provide some opening remarks and then open the call to questions. And with that, I'll turn the call over to Richard.
Richard Schwartz: Thanks, Kyle. Good afternoon, and thank you for joining us today. I'm pleased to report on another outstanding quarter that underscores the resilience of our business model and player-first approach. Our third quarter results demonstrate continued momentum and acceleration of growth across key markets, led by our continued outperformance in the online casino space. Before diving into our key quarterly performance, I want to highlight some important organizational enhancements to strengthen our leadership structure. We promoted Kyle Sauers to President and CFO, expanding his existing role to now oversee marketing, operations and commercial strategy in addition to finance. This change allows me to focus more deeply on innovation, online casino legalization and strategic growth opportunities, while Kyle drives cross-functional operational excellence across our existing markets. We've also elevated Rob Picard to Chief Strategy Officer, reflecting his contributions to our success. These changes position us well for continued execution as we scale our business. Congratulations to both Kyle and Rob. Now turning to our Q3 performance. Revenue reached a record $277.9 million, up 20% year-over-year, marking our 10th consecutive quarter of sequential revenue growth over the prior quarter. Notably, this growth was driven by very strong player acquisition and player engagement across our higher-value markets. Adjusted EBITDA of $36 million increased 54% year-over-year, demonstrating the operating leverage inherent in our business model as we scale. In total for North America, our MAUs increased 34% year-over-year, rising to 225,000. This represents our fastest quarterly user growth rate over 4 years and clearly off a much larger base of players. What makes these results particularly compelling is the continued acceleration of our growth in North American online casino markets, where we see the highest player value and retention. In our North American online casino markets, we delivered exceptional performance with 46% year-over-year MAU growth. This is also the second highest quarterly growth rate in over 4 years, again, achieved off a much larger starting player base. Even more encouraging, we've seen accelerating year-over-year growth in our North American online casino player base every single month since March, indicating a strong underlying momentum that extends well beyond any seasonal factors. While this rapidly growing player base is driven by our high-quality player experience and strong retention, we also had a record quarter as it relates to first-time depositors across the business, beating our prior high watermark by more than 10%, while doing so at very attractive customer acquisition rates. Turning to our performance in individual online casino markets. The breadth and scope of our success is encouraging. Delaware continued its noteworthy trajectory with 74% net revenue growth, demonstrating the sustained opportunity in this market even as it continues to mature. Michigan delivered 48% growth, its second fastest pace since Q1 2022. Even our most mature market, New Jersey, achieved 37% growth, the second fastest rate since Q1 2021, proving that established markets can reaccelerate with the right strategy and execution. Ontario grew 24%, its fastest pace since Q4 2023, while Pennsylvania delivered 15% growth, its fastest growth since Q3 2021. This broad-based acceleration of growth across markets of varying maturity levels validates our strategic approach of focusing on product differentiation and a high-quality customer experience. Our proprietary technology platform enables us to deliver unique gaming experiences that drive both customer acquisition and retention efficiently. In Latin America, we continued to build momentum with MAUs growing 30% year-over-year, climbing to a new record of 415,000 users. While Copa America in 2024 created a challenging year-over-year comparison in July, August and September both delivered over 50% growth, demonstrating the underlying strength of our LatAm operations extends well beyond major sporting events. Mexico revenue grew over 100% again this quarter, reflective of continued momentum and market share gains in that market. And in Colombia, while GGR again grew over 50%, net revenue was down 27% during the quarter due to player bonusing related to the temporary VAT tax. In Colombia, we continue to navigate the VAT tax environment. Our strategy of absorbing the tax impact while maintaining player experience has allowed us to grow our market position and continue to grow our player base at a fast pace. Our strong operational performance in Colombia positions us well for meaningful upside when normal tax conditions resume. As for the President's proposed 2026 tax reform, we continue to believe that Congress will not approve the proposed online gaming tax. Now I want to address several industry topics that I know are top of mind for investors. First, on prediction markets. We are monitoring this space closely. As a casino-first company, we see less direct competitive risk than sportsbook heavy operators. In fact, if prediction markets create tax revenue erosion concerns for states, this could accelerate online casino legalization as states seek more protected revenue streams, a development that would actually benefit RSI given our market-leading experience in online casino. The second industry topic is sweepstakes operators. The proliferation of unregulated sweepstakes products with games that look, feel and play identical to regulated online casino games presents both a challenge and an opportunity. The reality is that this online casino gaming is already occurring across the United States through these unregulated and illicit channels. These operators generally pay no taxes, are not subject to consumer protection or responsible gaming standards and often raise concerns about targeting minors. States are faced with a clear choice, continue to allow this untaxed, unregulated activity or they can legalize online casino gaming and regulate it properly, ensuring strong and consistent consumer protections for their residents and generating meaningful tax revenue for their states. We believe the right choice is obvious and the sweepstakes proliferation only strengthens the case for regulated online casino expansion. Looking ahead, our pipeline of opportunities remains robust. We're excited about our planned expansion into Alberta and anticipate launching in that market on day 1 when it goes live. This represents a significant online casino opportunity that leverages our proven success in similar markets, such as Ontario, where we continue to hit new quarterly revenue records. We are also actively monitoring legislative developments across multiple U.S. states where budget pressures and the need for new revenue sources are creating momentum for online casino legalization. As we look toward the remainder of 2025 and beyond, I'm confident in our strategic positioning. Our focus on markets that include online casino, our proprietary and innovative technology platform, our marketing efficiency and our operational excellence creates a sustainable competitive advantage that is difficult to replicate. The fundamentals of our business have never been stronger. We're growing fast, efficiently and profitably. Most importantly, we're doing so in a way that positions us for continued success in online gaming markets across the Americas. With that, I'll turn the call over to Kyle for a more detailed financial commentary.
Kyle Sauers: Thanks, Richard. I'll now provide additional details on our third quarter financial performance and outlook. Third quarter revenue of $277.9 million increased 20% year-over-year, driven by exceptional growth across our North American online casino markets and partially offset by lower revenue in Colombia and some player-friendly sports outcomes in September. Once again, we see the results as demonstrating the consistency and durability of our business model. Online casino revenues grew 34% during the quarter, while online sports betting contracted 16% due to the elevated bonusing in Colombia. Regionally, revenue in North America grew 26%, while revenue in Latin America fell by 11%, similarly affected by the elevated bonusing in Colombia. Our gross margin was 34.0% during the quarter, reflecting continued improvement in mix shift to higher gross margin markets, but offset by player-friendly sports outcomes, which impacted Colombia results and bonusing and also, to a lesser extent, the increase in New Jersey gaming taxes. On the expense side, our disciplined approach continues to drive operating leverage. Marketing expense of $38.1 million was down 1% year-over-year while increasing sequentially by 5%. Richard mentioned this already, but it's worth reiterating, we had our highest North American monthly active user growth in 4 years, and we set another new record for first-time depositors for the entire company during the quarter, achieving this while further decreasing our cost to acquire players in North America by over 10% during the quarter, leading to continued leverage over our marketing investments, and this represents less than 14% of revenue. G&A expenses were $20.4 million, up 8% year-over-year, reflecting continued investment in our technology platform and operational capabilities to support our growth. As a percentage of revenue, G&A remained well controlled at 7.3%, and we continue to expect modest leverage over this line item as we scale. Adjusted EBITDA of $36 million increased 54% year-over-year, representing a margin of 13%. This demonstrates the significant operating leverage in our business model as we continue to scale. The strong flow-through from revenue growth to profitability underscores the quality of our revenue streams and the efficiency of operations. Looking at our key operating metrics, the strength of our performance becomes even more apparent. North American MAUs of 225,000 users with 34% year-over-year growth, our strongest quarterly performance in over 4 years. And more importantly, this growth is concentrated in our higher-value online casino markets. North American ARPMAU of $365 was down 5% year-over-year, which is expected given the impressive growth in the user base. As we've seen consistently, newer player cohorts start with lower spend levels and more bonusing before increasing engagement and player value over time. This is exactly the dynamic we want to see, rapid customer base expansion that will drive long-term value creation. In Latin America, MAUs reached 415,000, up 30% year-over-year despite the challenging Copa America comparison in July, the acceleration we saw in August and September with both months delivering over 50% growth and demonstrating the underlying strength of our LatAm operations. Our balance sheet remains exceptionally strong. We ended the quarter with substantial unrestricted cash of $273 million and no debt, providing significant flexibility for both organic growth investments and potential strategic opportunities. Our strong cash generation continues with meaningfully positive operating cash flow throughout the quarter. I'll also note that we have begun including our balance sheet and cash flow statement in our quarterly press release starting this quarter. Regarding our outlook, we remain confident in the momentum we've built and the opportunities ahead. The acceleration we've seen in North America online casino markets every month since March gives us confidence that this growth is sustainable and not merely seasonal. We continue to expect to maintain marketing leverage for the full year with marketing expenses growing at a lower rate than revenue. Our G&A investments are focused on areas that directly support our growth, particularly technology and product development capabilities that enhance our competitive differentiation. Looking at the fourth quarter and beyond, we believe we're well positioned to continue delivering strong performance. The seasonal strength we typically see in Q4, combined with our accelerating market trends positions us for a strong finish to 2025. We remain excited about our expansion opportunities, particularly in Alberta, where we expect to launch when that market opens. Our success in similar markets gives us confidence in our ability to capture meaningful market share quickly. In summary, Q3 represents another quarter of exceptional execution across all aspects of our business. We're growing faster, more profitably and more efficiently than ever before while building a foundation for sustained long-term success. Based on this continued strong performance, we're raising our full year revenue and EBITDA guidance. We expect 2025 revenue to be between $1.1 billion and $1.12 billion, up $35 million at the midpoint of $1.11 billion and representing a 20% year-over-year increase. For the full year, we anticipate adjusted EBITDA to be between $147 million and $153 million, up $10 million at the midpoint of $150 million, which is up 62% year-over-year. And one last reminder, our guidance includes only those markets that are live as of today. And with that, operator, we can open the line for questions.
Operator: [Operator Instructions] Our first question comes from Dan Politzer with the company, JPMorgan.
Unknown Analyst: This is actually [ Sam ] on for Dan. First, I think if we think about your updated guidance, it implies fourth quarter incremental margins at the midpoint of around 20%, which is below recent levels. I think you talked about some increased marketing in the fourth quarter, but is there any other color you could provide around puts and takes, maybe like a sports betting unfavorable holds from sport outcomes?
Kyle Sauers: Yes. Thanks for the question, Sam. I think I'd point to, yes, the increased marketing spend. As we've pointed out in our prepared remarks, we've been having really good success bringing on a lot of new players and at attractive rates. So that's part of it. I think the other piece that I would put in there is just the ongoing VAT tax that goes through the end of the year in Colombia that's impacting gross margins and revenue growth down there a little bit.
Unknown Analyst: And then there's some recent news coming out of Mexico, they're considering a potential increase in gaming tax rates. Was this something you were anticipating going into the year? And how would you kind of think about increased tax rates impacting kind of how you operate in that market?
Kyle Sauers: Yes. We've been tracking that. I wouldn't say it was something that we anticipated heading into 2025, but it does appear that in Mexico, the gaming tax is likely to increase from a current rate of 30% up to 50%. There have been and should continue to be ways to reduce the effective rate below these amounts. But we'll keep you updated next year, assuming these changes get enacted and what that means for us and if there's any difference in the way we approach that market. Operator, I think we can go to the next question.
Operator: Our next question comes from Bernie McTernan with the company, Needham & Co.
Bernard McTernan: Maybe just to start and keeping on the LatAm theme. What should we be looking for in terms of like next steps for what's going on in Colombia and the VAT tax? And maybe, Richard, just gauge your, I don't know, probability of it going through or not, if it's still a high degree of confidence or not?
Richard Schwartz: Sure. Yes. So Colombia, it is a situation where the President's tax reform does require congressional support. I think there's been some articles published over the last few weeks that sort of sometimes don't convey that clear picture that it does require congressional support, and we continue to feel there is not sufficient support by Congress to pass that. So you do -- if that doesn't pass, then the normal tax conditions should resume. That's sort of the state of things today, but November is going to be a very busy time in the political arena down there. The President remains unpopular and his party does. So it's still some work that's happening down there, but I certainly think that the current view is that the current tax reforms proposed will not be adapted.
Bernard McTernan: Understood. And then, Richard, you also -- there was obviously the press release happened not too long ago, but then you mentioned on this call how there's the -- Kyle being promoted to President and allowing you to focus on more strategic, maybe bigger picture things. Just wanted to see if there's any commentary on maybe why now or if there's anything you could bring us under the -- like, the hood in terms of what you'll be focused on specifically?
Richard Schwartz: Sure. First of all, I think Kyle deserves it, the opportunity -- he's done tremendous job for the company since he joined us and the support throughout the Board and colleagues, other executives and everyone in our community that follow our company, I think, has recognized how deserving it was. But ultimately, I also for myself realized that the impact to our company of having additional states legalizing online casino is very profound and very significant. And I believe, as I shared on prior calls, that there are opportunities to improve how our industry lobbies and the narrative, the messaging and hopefully, the impact of the opportunity will be stronger if I'm able to spend more time working with other colleagues from our peers to try to align folks in a way that hasn't really been aligned as much as we'd like in the past. So, I think, number one, online casino legalization requires a very strong and very dedicated effort to really try to move the needle in terms of accelerating the pace, and I think we'll be able to achieve some results with some additional time to focus on that. In addition, as we know, we hired a new CTO earlier this year. He's off to a tremendous start. And what I'm excited about is working with him and the team to continue to deliver experiences that are fun that players want to play and they can't get anywhere else. So at the end of the day, we want to continue to improve the innovation of our business and the differentiation, which has been the source of a lot of our success and why you see our ARPMAUs at such a high rate relative to others is because we have a constant flow of new ideas implemented in smart ways that consumers really enjoy and appreciate. And we have a team that loves building these fun experiences, but we need to do more of that. And I, as some of you know, have a long history in that part of the business on the product side, and I think it could be a great opportunity to kind of ensure that we have our next pipeline enhanced and coming through at a faster pace. So I'm really excited to focus on innovation as well. And then as you can also imagine, there's all these strategic opportunities in the industry, and we want to make sure that we have a proper focus on those and make sure that when we evaluate how to direct capital to get the highest returns that we're comparing all the opportunities, and there's a lot of them. So, we have to sort of make sure we have the right focus on those to ensure that when we do find the right ones, we are able to act and have proper support to make sure it's successful. So those are the sort of the things that I'm hoping to focus on.
Bernard McTernan: Certainly, we feel the similar sentiment towards Kyle.
Richard Schwartz: Appreciated.
Kyle Sauers: Thank you.
Operator: Our next question comes from Jordan Bender with company Citizens.
Jordan Bender: So the state reported data doesn't always tell the whole story, but it does look like you got a little bit more promotional on the sports betting side of the business later in the quarter, which we can kind of see in your handle accelerating. Curious as to what you're seeing in the market that's making you lean in? And are you seeing anything elevated from your end or the market's end as we head into the fourth quarter here?
Kyle Sauers: Yes. Thanks, Jordan. I don't think I would highlight anything dramatic that's happening within the industry. Obviously, everybody has their own strategy heading into football season that they're trying to execute. And we're -- I think probably like all operators, we're continuing to refine our bonusing in all of our different markets, and each market might look a little bit different, but making sure the bonuses are getting to the right players. So really, no big change in strategy there for us.
Jordan Bender: And then if I can follow up in Colombia, if I caught it right, I think you said NGR down 27% in the quarter, which, if I heard that right, would kind of represent a pretty meaningful deceleration from what you saw in the first 2 quarters of the year. I guess, like is there anything structurally different from what you're doing in that market? Obviously, it ends here in a couple of months, but just curious on why the deceleration there.
Kyle Sauers: Yes. So just to be clear, I don't think I would refer to it as a deceleration because the player count growth was still super strong. GGR growth was still super strong. This was about the bonusing that we're doing to offset the VAT tax on the players. And it was a bit more painful for us in Q3 in terms of the impact on net revenue. And part of that comes from better sports outcomes. And then because of that, you have players who have a little bit fuller balances in their accounts. So there's a little more churn with deposits and withdrawals, which creates more bonusing. So that's really, how I would describe Q3 as it relates to Colombia, but not a deceleration. It was more about the bonusing.
Richard Schwartz: And I would just add that the handle, the gross gaming revenues, the player volumes are generally in line with the growth we were experiencing prior to the VAT tax implementation. So we continue to see really healthy growth in that market.
Operator: Our next question comes from Ryan Sigdahl with the company, Craig-Hallum.
Ryan Sigdahl: Really nice results. I want to start kind of in the U.S. and then we'll move to Latin America, like everybody else. But you announced some nice payment processing partnerships, Sightline Payments for an integrated debit solution. You have BurraPay for crypto. But you guys seem like kind of a leader, first mover on a lot of that stuff. Curious how those partnerships came about? Any metrics you're willing to give from a percentage of players that are using these or have adopted? And then kind of how you think about the cost savings versus potentially even customer retention features of these.
Richard Schwartz: Right. Sure. I'll take that one, Ryan. Thanks for the comments on the quarter. Yes. So it really starts off with sort of a reputation that we developed over the years, I think, as a thought leader and an innovator in our industry. And when you have to pioneer new payment methods, in particular, it's extraordinarily complicated and requires not only engineering teams, but compliance, operations and every sort of partner and all stakeholders have to sort of align together and figure out really tough challenges and how to execute on them. And I think we've done it before as we have. We're a natural company that people want to partner with because we have a track record and a history of delivering new experiences to customers in a great way. In the case of Sightline, their Co-Founder, CEO and myself have a relationship going back many years, since they launched their business, and our teams get along extremely well. And we recognize that together we could deliver an experience that is solving a need that industry has, especially for us. And so we had a very collaborative and terrific relationship, and we launched that product, and we're really excited for it. But it's still very early and I don't have any metrics to share on this call and at this time. For BurraPay, other long-time executive industry approached us, again, for similar reasons, knowing that we have a great reputation, I think, and are able to pioneer new approaches. And similar to the Sightline experience, we were able to agree on a framework to work together and collaborate to deliver great experiences. So payments are key to our industry. And when you can innovate and find ways to solve players' friction, deliver more efficient experiences for them, and -- it makes a difference. And so we tend to do that in Latin America very well, and we're doing that equally as well, I think, in the U.S. market.
Kyle Sauers: Yes. And the only thing I would add, Ryan, I think you hit on it, but there's 2 reasons for these types of innovations around payments. The first is, obviously, to have a great player experience and a journey where it makes it very easy for players to feel comfortable, trust the platform, get their money on and off the platform when they want. And then the second piece is to make sure that it's improving our financials and reducing costs over time. So when we can accomplish both of those things at the same time, that's a big win for us.
Ryan Sigdahl: Yes. Then switching down to Colombia. We don't need to debate or likelihood of tax reform, we'll kind of wait and see how that all plays out. But to me, it's a positive regardless, curious, your thoughts on that. There's a great outcome, obviously, that it doesn't continue into next year and you get an immediate uplift. The other option is it does in some form. But my question is, do you expect operators to change strategies, behavior? I guess, to me, it felt like everybody was operating under a temporary -- this year absorbing the VAT tax because it was going to go away. But if it ultimately becomes permanent, people likely partially or stop doing that and actually results can improve next year regardless.
Kyle Sauers: Yes. I think it's a good point. I think there's -- at either end of the spectrum for outcomes, it should be a better scenario for us next year. So I mean, if you just look at some of the numbers, for the year, GGR is up a little less than 60% and net revenue is about flat. But that includes the first couple of months of the year because the bonusing and the VAT didn't go into place until late February. So if you just looked at Q2 and Q3, GGR is up almost 65%, but net revenue is down almost 15%. So it gives you just kind of a decent perspective on the headwind from the extra bonusing that we're doing along with the other large operators. So then you jump to 2026, the VAT going away is obviously going to have a very solid impact on our revenue growth given that we've seen the GGR growing over 60%. And at the other end of the possible outcomes, as you point out, we think it's likely that all the operators would decrease the bonusing, take that bonusing away, which wouldn't be great for GGR, but it should be much better for us in net revenue and profitability. And then the other piece of it is, by the end of February we're lapping the bonusing that we started doing because of the VAT tax. So both of those could be beneficial for us.
Operator: Our next question comes from Joe Stauff with the company, Susquehanna International Group.
Joseph Stauff: I wanted to ask, Richard, on your comments about the sweepstakes market, what states that you operate in currently do you consider to have a pretty substantial headwind in terms of sweepstakes operators operating against you?
Richard Schwartz: Well, remember, there's sweepstakes across poker and across sports and across casino. So, I guess a couple of large states have been fairly effective at having the regulators sort of issue cease and desist letters and removing some of the competition. I'll mention Michigan is one example and Delaware is another example. In other states where you operate with online sports betting and some efforts to legalize online casino in Virginia, a market that does still have sweepstakes, for example, Illinois still has it as well. So it's really a mix across the country of states that have been able to sort of exit the sweepstakes and others that have not. So, it's not a very clear cut. In some cases, some of the larger sweepstakes operators leave, but there's others that still stay. So it's not a very clear image and a lot of confusion sort of what the status is in some of those individual states.
Joseph Stauff: Got you. So for iCasino in particular, maybe of your more material states, Michigan, Delaware or maybe the states where it's a little bit cleaner, whereas the other ones, not so much.
Richard Schwartz: Yes, I'm not actually familiar with the latest in a couple of those other states other than the ones I referenced.
Joseph Stauff: Got it. And in terms of just the reinvestment you did in the third quarter and the reacceleration, for instance, especially like in a state like New Jersey, if we think about the first-time depositors, which you said was a record, was it heavier in certain states than not? Or is it more kind of across the board?
Kyle Sauers: Yes. Thanks, Joe. So for sure, it is concentrated in markets that have iCasino available. So I would include Ontario and that in addition to the states that we're in. That's where we -- we haven't been shy about the fact that we feel like we have very differentiated product and an advantage there. And so that's where our marketing investments should go, and it's clearly paying off. I mean, I think our 34% growth in our monthly active users in North America is impressive. But when you get to just the iCasino markets, and it was 46% year-over-year. That tells you that's where we're investing and that's where we're having a lot of success.
Operator: Our next question comes from David Katz with the company Jefferies.
David Katz: First question, Richard, I think you talked about prediction markets a little bit. But I'm not sure if you said whether you would be potentially looking into offering it if it became a legalized context to do so?
Richard Schwartz: I don't think I addressed that, and I predicted you might ask this question. So the truth is, is that when it comes to prediction markets, the legality of it is being debated across the federal government and state jurisdictions right now. A handful of states, as you know, are actually pushing back against prediction markets as unauthorized offerings. At RSI, our focus is on our core business, delivering sustainable growth while navigating the regulatory landscape responsibly, which means that we aren't going to be a pioneer. While we're very innovative in a lot of ways, we're not going to be a pioneer in this category. But certainly, we have to have a even playing field ultimately, depending on whatever happens. But we're certainly monitoring it closely, aware of everything that's been happening and don't expect to be pushing any limits because we certainly respect the state gaming licenses and recognize that licenses are a privilege at a state level, not a rights. And so we have to be very cautious and make sure we're compliant with those stakeholders there that feel strongly on this topic.
David Katz: Understood. And if I may, as my follow-up, Kyle, if I can still address you as Kyle. I noticed that there wasn't any share repurchase in the quarter. Just curious if there are sort of other uses there or what the philosophy was behind that.
Kyle Sauers: Yes. Thanks, David. I'm still going to call you, David. Yes, we didn't do any buybacks during the quarter. I continue to think about future buybacks as being opportunistic rather than programmatic. So we're going to just remain flexible on how we use the buyback authorization and make sure that we're -- we've got a lot of dry powder for new markets that come along or other opportunities as well.
Operator: Our next question comes from Jed Kelly with company Oppenheimer.
Jed Kelly: Just on the iGaming growth in some of your more mature states, what -- can you kind of dig in more to what's driving that acceleration? Is it more product exclusive content or is it something you're doing on the bonusing or are you just getting share gains from other competitors?
Kyle Sauers: So Jed, I'll start and maybe Richard will jump in here. But I think it's everything. So obviously, when you look at the monthly active user growth, that's not just about getting new people to the platform. That's having a great product and a differentiated experience and giving people a reason to come back every day. When it comes to bringing, like, people to the platform, which obviously we're doing quite well given that this quarter was a record for first-time depositors at the company, I think 10% higher than our previous record, which happened to be last quarter, and we're not spending any more money doing that. I think that tells you a lot about the quality of our marketing team and our marketing programs. We've done a lot to continue to add resources to that team, and they keep getting better and better. But the good news is that there's a lot of things we can still do better than we are today. But I think the fact that we're adding so many new users and then keeping them around says a lot about the momentum we have in the business. I think you probably heard it in the prepared remarks, but our year-over-year growth in monthly active users accelerated every quarter or every month sequentially since March through September. So that's -- I think that's pretty impressive, and we're very excited about that.
Jed Kelly: And just as a follow-up, what do you think is more of a catalyst for further iGaming legislation? Is it prediction markets or sweeps?
Richard Schwartz: Sure. I think both have a meaningful role to play, because in one case, prediction markets is reducing the sportsbook revenues potentially that states will be obtaining from the sports betting statewide frameworks that exist. If that happens, certainly, online gaming is a safer, more protected category of casino revenues that would be sustained. It certainly helps that online casino generates a 4x the tax revenues of sports betting. So as states have more financial pressures, and I think as the big federal bill starts to get implemented in the next couple of years, you're going to have increased financial pressures on states. And as we've seen some stakeholders in the discussion recognize online casino represents one of the very most available, accessible, proven, reliable opportunities for states to have a meaningful additional source of tax revenue. So, it's a financial element on sweepstakes, certainly, the fact that the size of that industry is not to be underappreciated. It's a multibillion-dollar industry, and there's a whole large volume of customers that could be online casino regulated customers that are right now playing these sweepstake sites. And I think it's interesting that when you do have folks opposing online casino being regulated, you don't have the same effort usually applied towards operating the sweepstakes market that already exists today. So certainly, the existence of it and the fact it's not taxed, and as I said in the prepared remarks, not tax doesn't protect consumers, really add no value to a state in any way. It just has a negative consequences versus the online gaming regulatory process and legalizing it adds a lot of value to states by protecting consumers and generating taxes and creating opportunities to fund resources to local causes and public services that need that sort of support. So I do think that these things are going to help plus the financial needs of states. And as I said earlier, having better alignment in our industry is really important. And as I have more availability, I hope to be able to focus on these things, I'm hoping to be able to deliver some accelerated efforts in some of the key jurisdictions that are important for us in the future.
Operator: Our next question comes from Chad Beynon with the company Macquarie.
Chad Beynon: I feel like we covered everything on iGaming. For sports betting, maybe wanted to ask one just in terms of how the customers have reacted just with in-play. So we have heard that there was, obviously, customer-friendly outcomes for American football and for soccer, I think, in September and for October, so that probably hurt hold. But just in terms of the in-play percentage helping hold, does that continue to look or does that continue to grow from a year-over-year perspective? And if we see normal outcomes, that could lead to a year-over-year increase in hold?
Kyle Sauers: Yes. Thanks, Chad. So we have continued to see improvement in the percentage of betting that goes both to parlays, SGPs and to in-game. That's been an initiative for us for quite some time. So those trends have been positive for us. Interestingly on the hold, absolutely, there were some player-friendly outcomes, as you pointed out, and it's well publicized, particularly in September. So that did create some headwind. But I will point out that our sports hold in the U.S. actually hit its highest point in our history in Q3, even with those tougher outcomes. So I think that's a pretty good reflection of how our team has been able to continue to improve the product and the offering and drive players to a better mix of bets.
Chad Beynon: And then on Colombia, again, I think previously, you've talked about the VAT tax representing roughly a low double-digit hit to EBITDA. You're doing things to offset it and you laid that out for the third quarter. But as we think about the guidance increase and maybe the outperformance in Q3, is it fair to say that maybe the beat -- I guess, some of it is probably coming from the MAU growth. But was there any type of a beat against that originally expected VAT impact?
Kyle Sauers: So not positive. I understand the question exactly, but I'm going to answer and you can tell me if I got you here. I think when you look at Q3 and the guidance raise, it's probably -- it's more about continued acceleration in MAUs, so more players, outperformance in North American iCasino, actually really good operational performance in Latin America, but more pressure from the bonusing in Q3 than maybe we would have anticipated, and that's partly because of those good player or the player-friendly sports outcomes, I should say. Did that get to your question?
Chad Beynon: Yes, answered like a President, thank you Kyle. Congrats.
Kyle Sauers: Thanks. Appreciated.
Operator: Our last question comes from Mike Hickey with the company Benchmark.
Michael Hickey: Richard, Kyle, congrats on the quarter. And Kyle, congrats on the promotion. I dropped myself, guys early in the call. So this question seems obvious. But on the prediction market in states where you have market share, call it, Delaware, are you seeing any pressure from Kalshi, soon to be Polymarket in that state or states? And I have a follow-up.
Richard Schwartz: Thanks, Mike. Yes, I'll answer that. No, the truth is we have not seen an impact to date from -- that we've noticed in those states where we operate the sports betting. So, we're still looking for that and certainly monitoring it, but we haven't seen much of an impact.
Michael Hickey: Richard, do you see anything on the prediction platforms in terms of innovation that you would potentially integrate into your online gaming products, OSB products?
Richard Schwartz: That's a good question. We have people look at it closely. I think we're still just trying to appreciate that while it's often described as a peer-to-peer experience, what we're seeing is that there are some large companies that are taking positions on one side of the equation and essentially almost replicating what a sportsbook is from, I guess, the house. I think when you start to -- I think the BFS industry had a lot of really smart pioneering things they did that sportsbooks could and should embrace as well in terms of how you communicate that propositions to players. And I think you're going to see which types of markets gain momentum in the prediction. And some of the things you might not expect will be the popular markets, and it's been up for companies like us to identify how we strengthen our own book. So I think the things we'll be paying attention to. But I would say it's almost still premature to really see a lot because, so far, what's been happening is that the prediction markets are less regulated than we are. And so perhaps you will start and are self-certifying in many cases, you start to see things happening in the future maybe that are worth us paying attention to. But what you've seen so far is really that industry trying to replicate sports betting and starting to say, well, we have same game parlays, so how can they do same game parlays. So I think right now, the direction is more of them trying to replicate what exists in our business. But at some point, I could see if that market was to exist, although obviously, it's a long way to know that's going to happen, then you certainly would start to see cross-pollination of ideas in the other direction, too.
Michael Hickey: Last question from us. Does the -- do you think the Trump fight with the Colombian President, does that -- is that creating more or less support in Colombia for the President in his potential tax change? And then I guess, broadly speaking, kind of a mess in Colombia. I mean, does that sort of take down a little bit, I guess, your appetite to expand further? I mean, Brazil, Ecuador, Chile, Argentina, all really interesting regions, I think you're looking at maybe unlocking. But the sort of the mess in Colombia, I guess, sort of pull back in your desire to put capital to work in other countries in Latin America?
Richard Schwartz: Yes. Maybe I'll take your second question first, and the answer is no, it doesn't really dampen our interest. It's a lot of effort to get experience right for Latin America. We believe those markets are at the infancy of growth. And as we see in our growth ourselves, there's lots of opportunity there, and it's a very large population across Latin America that are in the process of or will be legalizing online gaming in the future. So we certainly remain very excited for it. And frankly, some of the things that are happening in these regions are also happening here in United States across the different footprints here. So I don't think anything is -- anything is possible these days, it feels like with anywhere in the world. So I think certainly, we are excited for the LatAm market and think we will be able to control the things that we can and execute where we can and influence when we're able to in terms of how we sort of want frameworks to exist in a way that's viable. But I think we're excited for the future in LatAm. In terms of the Colombia question, we certainly haven't heard or seen any evidence of anything impacting us. Certainly, we've been a great citizen down there, continue to be very respected in that industry and feel really confident about the taxes we generate and the quality of the business that we run down there. So I think the answer would be no to your question.
Operator: At this time, there are no more questions registered in the queue. I'd like to pass the conference back over to our hosting team for closing remarks.
Richard Schwartz: Well, thank you for joining us today. We're excited about the road ahead and look forward to sharing our continued progress when we report our fourth quarter and annual results next year.
Operator: That will conclude today's conference call. Thank you for your participation, and enjoy the rest of your day.